Operator: Good day, ladies and gentlemen and welcome to the Otter Tail Corporation’s Fourth Quarter 2013 Earnings Conference Call. Today’s call is being recorded and there will be a question-and-answer session after the prepared comments. I would now like to introduce your host for today’s conference, Mr. Loren Hanson. Please go ahead, sir.
Loren Hanson: Good morning everyone and welcome to our call. My name is Loren Hanson and I manage the Investor Relations area at Otter Tail. Last night, we announced our 2013 results and also issued 2014 earnings guidance. Our complete earnings release and slides accompanying this earnings call are available on our website at www.ottertail.com. A replay of the call will be available on our website later today. With me on the call today is Jim McIntyre, Otter Tail Corporation’s President and CEO; Kevin Moug, Otter Tail Corporation’s Senior Vice President and Chief Financial Officer, and Chuck MacFarlane, President and CEO of Otter Tail Power Company. Before we begin, I’d like to remind you that during the course of this call, we will be making forward-looking statements. These forward-looking statements are covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and includes statements regarding Otter Tail Corporation’s future financial and operating results, or other statements that are not historical facts. Please be advised that actual results could differ materially from those stated or implied by our forward-looking statements, due to certain risks and uncertainties, including those described in our most recent Form 10-K and subsequent quarterly reports on Form 10-Q. Otter Tail Corporation disclaims any duty to update or revise our forward-looking statements, as a result of new information, future events, developments or otherwise. For opening remarks, I would now like to turn the call over to Otter Tail Corporation’s President and CEO, Mr. Jim McIntyre. Jim?
Jim McIntyre: Well, thank you, Loren and good morning everyone and thanks for joining our call today. It is an especially gratifying call for me today because so many positive topics to discuss. Persistence and executing our strategy produce excellent results in 2013. Both our Otter Tail Power Company and at the manufacturing and infrastructure companies under Varistar. In addition to making earnings per share of $1.54 on non-GAAP basis in 2013, our company successfully executed actions related to our strategic plans and positioned as well for further earnings improvement in 2014. Allow me to discuss the utility first. Otter Tail Power Company continues to execute its strategy to grow through environmental upgrades at it power plants and strategic transmission investment. I would like to provide a quick update on several of these large projects. Construction is going well at Big Stone Plant on the year quality control system. This project is required to meet Environmental Protection Agency’ regional haze a multi regulations. It is more than 25% complete with no OSHA recordable injuries. We expect this project to be completed within its budget of $405 million; Otter Tail Power Company’s portion is 54% which is approximately $218 million. Environmental cost recovery riders were approved in Minnesota and North Dakota during a fourth quarter of 2013 allow for recovery and return on investment during construction. This saves customer accrued interest and more gradually introduced bill increases, these projects were made in place throughout the project until they are completed in 2016. The transmission projects also are progressing. The $365 million Big Stone South to Ellendale 345kv project has identified a preferred route and submitted permit application in North Dakota and South Dakota. This project is Midcontinent Independent System Operator or MISO multi value project. This due to be in service in 2019. Otter Tail Power Company is 50% owner with Montana -Dakota Utilities Company. The $218 million Big Stone South Brookings 345kv line, another milestone MVP project remains on schedule to be in service by 2017. Otter Tail Power Company is a 50% owner with Xcel Energy; past recovery from these two MISO MVP projects will come from all customers within the MISO footprint. Otter Tail Power Company also is investing $26.5 million in Brookings County to Hampton an $84.4 million in Fargo to St. Cloud to CapX2020 transmission project still under construction. They are on budget and on schedule to be in service in 2015. Past recovery for these projects will come through transmission cost to recovery riders in the states Otter Tail Power Company serves. Otter Tail Power Company adds value to these large projects to risk management. A discipline we emphasis, it is important because the utility was the capital expenditures of $657 million between 2014 and 2018. Risk identification and risk management are areas which we have improved throughout the Corporation. We saw proof of daily operational excellence in 2013 when Otter Tail Power Company achieved the slowest number of OSHA recordable injuries ever and again achieved higher residential customer satisfaction ratings in the other investors and utility measures by the American Customer Satisfaction index. Excellence safety records and high customer satisfaction scores are strong indicator that the company is well managed. We expect the utility earnings to be considerable higher in 2014 than in 2013 because the capital expenditures and company cost recovery for the projects I just discussed will continue into 2014. Kevin will talk more about this during his 2014 guidance discussion in a few minutes. But first I would like to turn attention to the manufacturing and infrastructure companies under Varistar. They had a quite year, all six were profitable. Foley started as profitability through improved estimating, stronger project management and selection of projects that better fit its skill sets. Aevenia delivered results in the second half of the year that offset the impacts of adverse weather and project challenges from the first half. Both PVC pipe companies – Northern Pipe Products in Fargo and Vinyltech in Phoenix had a stronger than expected year as a result of increased demand, growing market share and excellence execution. The efficient plants, low operating costs and good customer relations served these two companies well. And finally, the two manufacturing companies BTD Manufacturing and T.O. Plastics more than held on their own in a still challenging market. In summary, I would say there are change in business model for our manufacturing and infrastructure companies under Varistar has been successful. We’ve reduced the number of platforms in companies; added select resourced and become more hands on in our management oversight. This has improved the performance and ongoing operational excellent within all our remaining companies. Last week, we had the privilege of announcing the Chuck MacFarlane, current President and CEO of Otter Tail Power Company and leader of our electric platform has been appointed to the position of President and Chief Operating Office of Otter Tail Corporation effective April 14. We also announced my intent to retire at the time of our annual meeting in April 2015 and the Chuck is expected to be named my successor at that time. Chuck is ideally qualified for this new leadership challenge and in the internal reaction to this news has been very positive. His appointment to President gives us two of us the chance to closely work together for a year before I retire. Before Kevin takes us through a rundown of the quarter and yearend financial, I will ask Chuck to share some brief perspective. Chuck?
Chuck MacFarlane: Thank you, Jim. It is both honor and challenge to step into this new role. Improving our overall operational effectiveness across both platforms has been persistent focus for several years now. And I appreciate the opportunity to work to make further progress. I had the privilege of working with Jim as part of the executive team and shaping the Corporation’s strategic planning function for more than two year, and I believe we made much progress on multiple fronts. Varistar continues to be an important contributor to the Corporation’s earning potential, we narrowed our focus on significantly optimize our mix of businesses and competencies where we have a greater potential for success. And we have improved the ways we share best practices. In terms of our electric platform, we continue to successfully execute on our rate- based growth strategy and I am pleased with Otter Tail Power Company’s momentum as I move to the Corporation, we have a tremendous leadership team in Otter Tail Power and part of my focus in the leaps ahead will be working to name my successor. We plan to make that announcement within a next couple of months. I am looking forward to the chance to support the solid strategies Jim and the rest of the management team had put in place. I met many of you over the years and look forward to further building our relationships with our investors and analysts. Jim?
Jim McIntyre: Chuck alluded to the rest of the management and I want to emphasize the contribution of the entire team as well as Chuck’s evolving role within it. It takes a strong management working together to create the successes we had today; I couldn’t be more pleased with the expertise and collaboration within this group. Now, I’ll turn it over to Kevin.
Kevin Moug: Well, good morning. Please refer to Slide 4 as I discuss with you our 2013 results and other significant events that have shaped Otter Tail Corporation moving forward. 2013 represented a year of execution. Portfolio realignment was substantially completed by the end of 2012. 2013 was the year for us to demonstrate the earnings capability of our remaining operating companies. We earned a $1.54 per share from continuing operation before debt retirement cost in 2013. This represents an 18% increase an earnings per share over the $1.31 from continuing operations before debt retirement cost in 2012. We further strengthened our balance sheet and future earnings power of the Corporation by retiring an additional $48 million or 9%, $100 million unsecured notes. This transaction reduces future interest expense by $4.3 million for 2014 to 2015 and $4.1 million in 2016. The portfolio realignment, strengthening of the balance sheet and the future earnings power of the Corporation with yearly debt retirements resulted in Moody’s recently announcing an upgrade to the senior unsecured credit rating of Otter Tail Corporation could be AA2 from Baa3 with the stable outlook. This is an addition to the S&P upgrade earlier in 2013. All these events along with the expected growth in earnings per share for 2014 support the increase in our annual indicated common dividend to $1.21 per share from the previous $1.19 per share. Please refer to Slide 7 as I provide additional comments on how our segments performed against the guidance we provided during the fourth quarter. The Electric segment finished 2013 strong. The additional earnings over the guidance range were mainly due to stronger retail electric sales driven by extremely cold weather during the fourth quarter of 2013. The Manufacturing segment performed in line with our expectations by earning $0.32 per share compared with the guidance of $0.30 to $0.33 per share. BTD’s revenues decreased due to lower sales volume and end markets serving the construction and energy industries offset by increased sales to end market serving recreational vehicle and agricultural industries. BTD’s net income increased mainly due to lower income taxes from the recognition of approximately $1 million in research and development tax credits. This was in conjunction with the filing of the Corporation’s 2012 federal tax return and recording an additional $0.5 million in credits for 2013. The Research and Development tax credit expired at the end of 2011 and had not been extended as of December 31, 2012. The American Tax Payer Relief Act of 2012 signed into law in January, 2013, extended the credit retroactively to the end of 2013. T. O. Plastic’s revenues decreased in 2013 mainly as a result of reduced sales of packaging products. Net income however was up slightly over the same time period due to lower raw material costs and productivity improvements. The Plastic segment performed well again in 2013 earning $0.38 per share and exceeding the guidance range of $0.35 to $0.37 per share. The additional earnings over the guidance range were due to stronger than expected markets during the fourth quarter as compared to what was forecasted. Our Construction segment reported earnings per share of $0.04 in 2013 versus then our guidance range of $0.03 to $0.05 per share. The year ago this segment reported the loss of $0.21 per share. Foley was primary reasons for this improvement, net income increasing $10.4 million over 2012 due to improved profitability. This is a result of strong performance on current year projects. Aevenia’s net income decreased $1.4 million last year; this was mainly due to planned reduction in the volume of telecommunication jobs pursued in 2013. In addition of Aevenia’s experienced the delay in securing and initiating new substation construction project due to more adverse weather condition in 2013 and in 2012. Aevenia’s 2012 results also included revenues and net income from Moorehead Electric, one of the Aevenia’s subsidiaries which were sold in October, 2012. Corporate cost were $0.25 per share compared with the guidance of $0.29 to $0.32 per share, the improvement from the guidance was due to lower than expected tax cost due to reduction in effective federal state tax rates, better than expected performance in the Corporation’s self- insured health plan during the fourth quarter, and interest savings from their early debt retirement that occurred in the fourth quarter. Slide 9, details are available liquidity under the $320 million aggregate credit facilities. Otter Tail Corporation and Otter Tail Power Company had combined $266 million available under credit facilities to provide for future growth and working capital at December 31, 2013. Otter Tail Power Company used their line of credit in the second half of 2013 to fund our planned rate based investments. In August, 2013, we closed on the delay drop private placement of $150 million in long-term debt with two traunches The $60 million traunche bears interest at 4.68% for 15 years, the $90 million traunche bears interest at 5.47% for 30 years. The proceeds from the issuance which are scheduled to be funded this month will be used to retire the $40.9 million term loan due January 15, 2015 as well as to pay down Otter Tail Power Company’s line of credit and for additional planned expenditure for the utility’s construction program. For our 2014 business outlook, please refer to Slide 10. This shows that our 2014 earnings guidance is expected to be in the range of $1.55 to $1.75 of earnings per share. The guidance reflects the current mix of businesses owned by the Corporation. The guidance also considers the cyclical nature of some of the operating companies and reflects plans and strategy for improving future results. The Electric segment earnings per share expected to increase significantly in 2014 compared with 2013 based on the following items. Rider recovery increases, including environmental riders in Minnesota and North Dakota related to the Big Stone AQCS environmental upgrades. Lower pension benefit costs of approximately $2.0 million as a result of an increase in the discount rate from 4.5% to 5.3%. These items are offset by an increase in interest costs as a result of $150 million of fixed rate long term debt being put in place in the first quarter of this year finance, the Electric segment, construction project and an increase in operating and maintenance costs primarily for increased labor and a planned outage at Hoot Lake Plant. We expect earnings from manufacturing segment to be flat year-over-year. There is an increase in sales and earnings as a result of extended customer relationships in residential vehicle, lawn and garden, industrial and commercial end markets that BTD serves. The 2014 earnings for BTD do not reflect any R&D credits being earned as these credits expire at December 31, 2013. The increase in BTD’s earnings is offset by a decrease in earnings from T.O. Plastics due to reduction in packaging revenues. The backlog for the manufacturing companies is approximately $136 million for 2014 compared to $124 million one year ago. The Plastic segment experienced its fourth best year earnings in 2013 due in part to favorable market conditions they are not expected to be repeated in 2014. Accordingly, we expect earnings per share to return more normal levels in 2014. We do expect higher earnings per share from the Construction segment in 2014 as result of improved cost control and more selective bidding on projects with the potential for higher profit margins. The backlog in place for the construction businesses is $77 million for 2014 compared with $151 million one a year ago. The construction backlog has continued to strengthen in the first quarter of 2014 by approximately $30 million. Corporate cost are expected to decrease in 2014 mainly due to lower interest costs from the retiring, the $48 million of the 9% long term notes in the fourth quarter of 2013, offset by general inflationary increases in labor, benefits and other general and administrative costs. We expect capital expenditures for 2014 to be $195 million compared with $164 million last year. The major project contributing to the increase is the planned expenditures at the Big Stone AQCS facility. We continue as well to invest in various transmission projects. Investments in these environmental and transmission projects will positively impact the Corporation’s earnings and returns on capital. The five year capital expenditure plan contains $657 million for utility projects, this plan also include $112 million of replacement capital for the manufacturing and infrastructure businesses. Our 2013 results reflects our efforts to improve our risk profile, credit metrics and generated sources of cash to support the future capital expenditures for our electric segment. These actions have resulted in a portfolio of companies that’s easier to understand. We believe our 2014 guidance further positioned us to achieve 4% to 7% compounded growth rate in earnings per share using 2012 as the base year. This is driven largely by the expected rate base investments at utility and existing capacity available on our manufacturing and infrastructure companies. As we enter 2014, we will continue executing our strategy with the ultimate goal of delivering shareholder value. We are now ready to take your questions. And after the Q&A, Jim, will return with the few closing remarks.
Operator: (Operator Instructions). Our first question comes from Matt Tucker with KeyBanc Capital Markets. Your line is open.
Matt Tucker – KeyBanc Capital Markets: Hi, guy, good morning and congrats on a nice year.
Jim McIntyre: Thank you, Matt.
Matt Tucker – KeyBanc Capital Markets: I have some questions on the guidance and I guess I’ll start with construction. The guidance implies based on earnings growth in 2014, the same time your backlog entering the year is quite a bit lower than last year. So could you just give us kind of sense some of the underlying assumptions there? Are you assuming you will book a lot of work during the year, if so, what type of work are you seeing or is it primarily the stronger margins that are driving the earnings?
Kevin Moug: Thanks, Matt, for the question. This is Kevin, I will respond – in my comments I did note we had an additional $30 million backlog here in the first quarter of 2014. So that’s been added we are seeing a mix of work change from water ways waste water to more industrial and commercial type projects and we are expecting to see higher margins from that type of construction work as compared to some of the water waste water project we had in the past. And we also expect that there will be – we are seeing additional bidding activities as we go through year as well. And so our confident in terms of while the backlog is we start off the year is down over the same time a year ago based on the backlog that’s been added here so far the first quarter and additional bidding opportunities that we are seeing here as we go through the year, we feel good about and as we start the year off with the guidance we have given.
Matt Tucker – KeyBanc Capital Markets: Thanks, that’s very helpful. And then on the Plastic segment, last entering 2013 you outperformed your initial guidance in 2013 by quite a bit. I guess what makes you think that you are going to see this change in market conditions in 2014? Is it something that you are already seen or is it more based on kind of historical cycles and just the assumption that things have to normalize at some point?
Kevin Moug: Couple of things, Matt. I mean one we are – we have been pretty clear I think that we are going to guide – when we start the year, we are going to guide as to what we think a normal range of earnings are because our experience over the years is that some of the cycles were – they don’t always consistently repeat year after year and we had three very strong years here, this year we are clearly bringing the guidance up in the 2014 stronger than what we have originally guided in 2013, and that’s due in part to – we do think there are some factors that have occurred here over the last couple of years that would say our range of normal earnings has moved up, it is not where it used to be. I mean we are seeing a strengthening in the business in terms of where we think normal earnings are because of some capacity that’s come out of the market over the last few years. We’ve seen strengthening from competition in terms of keeping sales prices somewhat higher and we are not seeing as much as a movement in the commodity standpoint of the pipe. But we feel that as we head into the year based on the conditions to guide to a more normal range and this range that we put out here is what we would consider a more normal range for us now going forward.
Jim McIntyre: Matt, this is Jim McIntyre. Let me just add a little bit and that is this the range that we have given in no way reflects any lack of confidence in our ability to execute. We have low cost facilities; we have got low variable cost production, and we are very confident that if the opportunities present themselves, our team will execute as they have over the last two years. And take advantage of all the market opportunities that are there. So as we work our way through the year, we will see where things go. We have more and more transparency as to the market quarter-by-quarter and that in part is also very much consistent with the Kevin’s thoughts, this kind of the new normal if you will and we will continue review as we go forward.
Matt Tucker – KeyBanc Capital Markets: Thanks, guys. And just one more if I could before I jumped in the queue. The 4% to 7% average long-term earnings growth target, is there a base year that we should be thinking about with respect to that?
Kevin Moug: Yes, that’s after 2012, $1.31, Matt.
Matt Tucker – KeyBanc Capital Markets: Got it, thanks. I will turn back into queue.
Operator: (Operator Instructions). Our next question comes from Matt Tucker with KeyBanc Capital Markets. Your line is open.
Matt Tucker – KeyBanc Capital Markets: All right, I’ll keep going here. On the electric guidance, can you quantify all your how much rider recovery revenue you expect to recognize in 2014 versus 2013?
Kevin Moug: Yeah, Matt, this is Kevin. In terms of the impact of that piece, we are looking at probably about $10.7 million kind of after tax type amount from the rider revenue growth that we are seeing.
Matt Tucker – KeyBanc Capital Markets: After tax, okay. And any sense you can give us for your underlying sales growth and O&M growth assumptions?
Kevin Moug: Well, in terms of our base margin growth we are slightly above a year ago. In terms of O&M growth, we mentioned the labor, the inflation at Hoot Lake, that’s about a little over $5 million impact on the year-over-year guidance. And then on the interest expense piece, we mentioned as well that’s little over $3 million impact.
Matt Tucker – KeyBanc Capital Markets: Okay, thank you. That’s very helpful. And then what consolidated tax rate should we be assuming for 2014?
Kevin Moug: I think our effective rate in our 2014 guidance somewhere of 28% to 30% range.
Matt Tucker – KeyBanc Capital Markets: Okay. And I guess last question kind of a bigger picture. Could you update us on your thoughts on the overall business model and specifically do you consider all your non-utility businesses as kind of core businesses at this point going forward?
Jim McIntyre: This is Jim. We said in a past and we still always review our portfolio criteria against all of our companies and we will do that on ongoing basis. Clearly, we like the direction of all our businesses in 2013, the execution that was carried out is pleasing to us. There are still rooms to grow; to grow if you will in our businesses, so we will continue execute well in the 2014 as well. We got plans to do that and will assess all of our businesses internally throughout the year.
Matt Tucker – KeyBanc Capital Markets: Great, thank you. That’s all I had.
Operator: (Operator Instructions). And I am currently showing no further questions. At this time, I will now turn the call back over to President and CEO, Jim McIntyre.
Jim McIntyre: Well, thank you. I am pleased that 2013 results were achieving excellent performance from both parts of our Company. We have a high performing electric utility, a solid management and employees and rate based growth opportunity through at least the next five years, coupled with support of our regulatory treatment. And we have well managed, focused set of manufacturing and infrastructure companies under Varistar that will provide a premium return and supplement growth and earnings at times when the utility growth is less. We are well positioned for 2014 and beyond. And I committed to executing strategic plans that will deliver shareholder value. Thank you for joining our call today and for your interest in Otter Tail Corporation. We look forward to speaking with your next quarter.
Operator: Thank you, ladies and gentlemen. That does conclude today’s conference. You may all disconnect and have a wonderful day.